Operator: Hello, ladies and gentlemen, and welcome to IT Tech Packaging’s Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today in are Mr. Zhenyong Liu, IT Tech Packaging’s Chairman and Chief Executive Officer and Ms. Jing Hao, the company’s Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its fourth quarter and fiscal year 2019 financial results via press release yesterday, which can be found on the company’s website at www.itpackaging.cn. First, Mr. Liu will brief you on the company’s key operational highlights over the fourth quarter and fiscal year 2019, and then Ms. Hao will review the company’s financial results. Before we start, I would like to draw your attention to our Safe Harbor statement. Management’s prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in its announcement are forward-looking statements, including but not limited to, anticipated revenues for the corrugating medium paper, tissue paper and offset printing paper business segments; the actions and initiatives of current and potential competitors; the company’s ability to introduce new products; the company’s ability to implement capacity expansion; market acceptance of new products; general economic business conditions; the ability to attract or retain qualified senior management, personnel and research and development staff; and other risks detailed in the company’s filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to change in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that these expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management’s prepared remarks and it is now available for download from the company’s website at www.itpackaging.cn. Please note that there will be discussions on non-G-A-A-P financial measures or EBITDA, or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars and all comparisons refer to year-over-year comparisons, unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by Melody Shi from Evergreen Investor Relations. Ms. Shi, please go ahead.
Zhenyong Liu: Thank you, operator, and good morning, everyone. Thanks for joining our fourth quarter and fiscal year 2019 earnings conference call. During the year 2019, we continued solid growth in revenues and profitability as we shook off the effects from the production suspensions resulted by temporary regulation to air-pollution control and equipment upgrades in 2018. We grew our top line by 35.6% to US$117.6 million. This was attributable from 59.5% growth of overall sales volume of all products, with 135.1% and 121.1% growth in overall gross profit and net income, respectively. Our margins and profitability substantially improved in fiscal year 2019. Thanks to contributed increase in sales volume for all products, combined with decreases in operating expenses. Our tissue paper recorded total sales of US$6.4 million, following completion of trial operation of PM8 and PM9 production lines in November 2018 and the fourth quarter of 2019, respectively. We also delivered 297.8% growth in offset printing paper, recognizing US$20.4 million of sales in 2019, despite of a sharp delay of production resulted from prevention of coronavirus in early 2020. Thus, the stabilization of orders of paper and packaging in recent months gives us reasons to be optimistic to a stable growth in 2020. As a leading paper market enterprises situated in Hebei Province, which surrounds Beijing-Tianjin, the largest metropolitan area in North China, we have a large market for our products and easy access to lower costs of raw materials and logistics. Thus, we will continue take such advantages to improve our capabilities to deliver sustainable growth and create long-term value to our shareholders in 2020. Now, I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the fourth quarter financial results. Her comments will be delivered in English by my colleague, Janice Wang. Janice, please go ahead.
Jing Hao: Thanks, Melody, and thanks, everyone, for being on the call. Next, on behalf of management team, I will summarize some key financial results for the fourth quarter of 2019. Also, I will occasionally refer to specific production lines associated with various products. I will make clear which products I’m referring to. For reference, the numbering system for our production lines is provided on Slide #22. Now, let’s look at our financial performance for the fourth quarter of 2019. Please turn to Slide #7. For the fourth quarter of 2019, total revenue increased to 34.5% to $33.6 million, due to contribution of sales of offset printing paper and tissue paper products and due to increase in sales volume of CMP, partially offset by the decrease in ASP of CMP products. Total sales volume of CMP, offset printing paper and tissue paper products, increased by 36.1% to 72,654 tonnes. Turning to Slide 8. For the fourth quarter of 2019, the CMP segment, including both regular CMP and lightweight CMP, generated a revenue of $24.7 million, representing 73.5% of total revenue, $19.6 million of revenue was from our regular CMP products and $5.1 million was from lightweight CMP. CMP segment volume increased by 11.7% to 59,646 tonnes, of which 47,063 tonnes were regular CMP and 12,582 tonnes were lightweight CMP. Average selling price, or ASP, for regular CMP decreased by 11.7% to $417 per tonne and ASP for lightweight CMP decreased 12% to $404 per tonne. Turning to Slide 9. For the fourth quarter of 2019, our Offset Printing Paper segment generated revenue of $7.2 million, representing 21.3% of total revenue. We sold 10,415 tonnes of offset printing paper at an ASP of $685 per tonne in the fourth quarter of 2019. Turning to Slide 10. We recognized the revenue of $1.8 million from tissue paper products for the fourth quarter of 2019, resulting from sales of 2,558 tonnes at an ASP of $684 per tonne. We expect to generate continuing sales of tissue paper this year. Slide #11 summarizes the changes in our revenue mix. For the fourth quarter of 2019, total cost of sales increased by $5.3 million to $28 million, leading to total gross profit of $5.6 million, significantly increased from gross profit of $2.2 million for the same period last year, and overall gross margin of 16.7%, reaching the highest level since the fourth quarter of 2017. For the fourth quarter of 2019, SG&A expenses decreased by 30.9% to $2.3 million, and income from operations were $3.2 million, compared to loss from operations of $5.1 million for the same period last year. Operating margin was 9.5%, compared to operating loss margin of 20.3% for the same period last year. For the fourth quarter of 2019, net income was $2.2 million, resulting in $0.10 per basic and diluted share. This compared to a net loss of $5.2 million, or $0.24 loss per basic and diluted share for the same period of last year. For the fourth quarter of 2019, earnings before interest, taxes, depreciation and amortization increased by $8.7 million to $7 million from negative $1.7 million for the same period of last year. Now shifting gear to year-to-date financial results. For the fiscal year 2019, total revenue increased 35.6% to $117.6 million as a result of the increases in sales volume across all product categories. This was partially offset by decreases in ASPs of CMP and offset printing paper. For the fiscal year 2019, the CMP segment, including both regular and lightweight CMP, generated a revenue of [$90.8] [ph] million, representing 77.2% of total revenue. $72.1 million in revenue was from our regular CMP products and $80.8 million was from lightweight CMP. Volume for the CMP segment increased by 42.1% to 214,147 tonnes, of which 168,837 tonnes were regular CMP and 45,310 tonnes were lightweight CMP. ASP for regular CMP decreased by 21.7% to $427 per tonne, while ASP for lightweight CMP decreased by 22% to $414 per tonne. For the fiscal year 2019, our offset printing paper segment generated revenue of $20.4 million, representing 17.4% of total revenue. We shipped 29,207 tonnes of offset printing paper for the fiscal year 2019, an increase of 371.8% from the same period last year. ASP for offset printing paper decreased by 15.7% to $700 per tonne. For the fiscal year 2019, we recognized revenue of $6.4 million from tissue paper products, resulting from sales of [6,790] [ph] tonnes at an ASP of $935 per tonne. For the fiscal year 2019, total cost of sales increased by $23 million to $104 million, leading to total gross profit of $13.6 million and an increase of 135.1% from last year. Overall, gross margin of 11.6%, reflects an increase of 4.9 percentage points from last year. For the fiscal year 2019, SG&A expenses were $9.8 million, compared to $13.1 million for the same period last year. As a percentage of total revenue, SG&A expenses was 8.3% for the year ended December 31, 2019. For the fiscal year 2019, income from operations were $3.9 million and operating margin was 3.3%, compared to operating loss of $11.2 million and operating loss margin of 12.9% for the same period of last year. For the fiscal year 2019, net income was $2.2 million, or $0.10 per basic and diluted share, compared to net loss of $10.5 million, or net loss of $0.49 per basic and diluted share for the same period of last year. For the fiscal year 2019, EBITDA increased from $3.1 million to $19.5 million for the same period of last year. Moving to Slide 17, 24 and 25, let’s look at the balance sheet and liquidity. As of December 31, 2019, the company had cash and bank balances, short-term debt, including short-term bank loans, current portion of long-term loans from credit union and related party loans and long-term debt, including loans from credit union and loans from related parties of $5.8 million, $8.3 million and $7.4 million, respectively, compared to $8.5 million, $14.7 million and $6.9 million, respectively, at the end of 2018. Net accounts receivable was $3.1 million as of December 31, 2019, compared to $2.9 million as of December 31, 2018. Net inventory was $1.6 million as of December 31, 2019, compared to $2.9 million at the end of 2018. As of December 31, 2019, the company had current assets of $24 million and current liabilities of $16.8 million, resulting in a working capital of $7.2 million. This compared to current assets of $24.2 million, current liabilities of $29.6 million and working capital deficit of $5.5 million at the end of 2018. Net cash provided by operating activities was $7.5 million for the year ended December 31, 2019, compared to net cash provided by operating activities of $9.2 million for 2018. Net cash used in investing activities was $7.9 million for the year ended December 31, 2019, compared to $2.2 million for 2018. Net cash used in financing activities was $5.9 million [sic] [$5.8 million] for the year ended December 31, 2019, compared to net cash used in financing activities of $3.2 million for 2018. We received several questions about our fourth quarter results from our – the investors. Now the management is answering these questions as follows.
Janice Wang: If you have any questions, please contact us through e-mail at ir@itpackaging.cn, management will respond to your questions through e-mails as soon as possible. Operator, please go ahead.
Operator: Thank you for attending IT Tech Packaging’s fourth quarter 2019 and fiscal year 2019 earnings conference call. This concludes our call today, and we thank you all for listening in. Goodbye.